Operator: Hello, everyone. Welcome to today's N-able Second Quarter 2025 Earnings Call. My name is Seth, and I'll be the operator for your call today. [Operator Instructions] I will now hand the floor to Griffin Gyr to begin.
Griffin Gyr: Thank you, operator, and welcome, everyone, to N-able's Second Quarter 2025 Earnings Call. With me today are John Pagliuca, N-able's President and CEO; and Tim O'Brien, EVP and CFO. Following our prepared remarks, we will open the line for a question-and-answer session. This call is being simultaneously webcast on our Investor Relations website at investors.n-able.com. There, you can also find our earnings press release, which is intended to supplement our prepared remarks during today's call. Certain statements made during this call are forward-looking statements, including those concerning our financial outlook, our market opportunities and the impact of the global economic environment on our business. These statements are based on currently available information and assumptions, and we undertake no duty to update this information, except as required by law. These statements are also subject to a number of risks and uncertainties, including those highlighted in today's earnings release and our filings with the SEC. Additional information concerning these statements and the risks and uncertainties associated with them is highlighted in today's earnings release and in our filings with the SEC. Copies are available from the SEC or on our Investor Relations website. Furthermore, we will discuss various non-GAAP financial measures on today's call. Unless otherwise specified, when we refer to financial measures, we will be referring to non-GAAP financial measures. A reconciliation of certain GAAP to non-GAAP financial measures discussed on today's call is available in our earnings press release on our Investor Relations website. And now I will turn the call over to John.
John Pagliuca: Thank you, Griffin, and welcome, everyone, to our call this morning. As we turn the page in the first half of 2025, N-able's mission of protecting businesses from evolving cyber threats matters more than ever. The relentless pace of digitalization, turbocharged by AI and a worsening threat environment are putting growing pressure on businesses to stay safe in an increasingly complex world. N-able is built for this moment. Our cyber resilience platform empowers organizations to manage, secure and recover, delivering the comprehensive protection needed in today's landscape. The results demonstrate our success. In the quarter, we surpassed $500 million of ARR, growing 14% year-over-year and delivered 32% adjusted EBITDA margin, N-able is delivering profitable growth at scale. Let's take a closer look at why we are a cybersecurity vendor of choice for small- to mid-market enterprises. It starts with the breadth of our unified end-to-end platform, which spans 3 pillars: unified endpoint management, security operations and data protection. Each delivers critical outcomes. Our UEM solutions act as the command tower, providing visibility and control across the entire IT estate. Our security operations solutions monitor the environment, actively detecting and stopping threats. And our data protection solutions serve as a final line of defense for it to restore data in the event of a breach or data loss. Just as important, our open ecosystem seamlessly integrates with third-party tools, empowering customers to tailor their environments to their unique needs, an essential advantage in today's fragmented IT landscape. Together, these capabilities provide true end-to-end cyber resilience. This platform approach allows us to deliver more insights, reduce vendor sprawl and close coverage gaps, differentiating N-able from narrow point solution providers. Our end-to-end value proposition is resonating. We saw a healthy year-over-year growth in our ARR per device as we broaden our presence across our customers' environments. Key to the value of the platform is the strength of the individual pillars. Our triple- pronged approach carries weight. Each pillar is award-winning at meaningful scale and with a proven right to win. This strength shows up in the numbers. Our top 10 new customer deals this quarter included a mix of lands from all 3 categories. More broadly, our total company's average sales price continues to increase as we gain wallet share. From an individual category perspective, net new ARR growth this quarter was led by data protection, followed by security operation and then UEM. Let's look at the progress in each area. We will start with Cove, our data protection solution, where we see sustained momentum and traction. Cove now protects over 3 million Microsoft 365 users and in Q2, recorded both its highest bookings quarter and highest net new ARR quarter ever, excluding the impact from annual pricing and packaging changes. Impressive results. We are pushing forward to sustain momentum. On the product front, the Cove team launched a new smart notification service that monitors all protected devices and proactively flags backup issues in real time. This cuts through the noise, improves visibility and helps make businesses safer. We also advanced our Linux restore capabilities, which are now in public preview. Expanding our workload coverage to include all major operating systems enables our customers to protect more and set the stage for future Cove growth. Meanwhile, prior innovations are driving results, highlighted by 25% year-over-year ARR growth in our AI-powered enhanced restore capabilities launched in 2024. We also believe that the rising strategic importance of backup and data protection reinforces Cove's relevance and long-term growth potential. According to Gartner's latest Magic Quadrant for backup and data protection platforms, by 2029, 75% of enterprises will use a common solution for backup and recovery of data residing on-premises and in cloud infrastructure compared with 25% in 2025. With a single control plane and extensive cloud and on-premises workload coverage, Cove is perfectly positioned to capitalize on businesses' desire for a single solution. We saw this in action during a second quarter win. A customer executing an M&A-driven growth strategy was evaluating data protection options to deploy on their newly acquired MSP. We won against 2 well-known large- scale competitors by offering the critical features our customer needed with simpler management, a superior price point and an overall better return on their TCO. The customer trusted Cove with their entire data protection estate, spanning on-premises, cloud and SaaS workloads, further validating Cove's strength as an all-in-one solution. Notably, an industry peer group recommended Cove to the customer, a great testament to our growing market reputation. The result, a nearly $200,000 ARR deal. Turning to security operations. We continue to gain traction in this important segment. Adlumin, our differentiated XDR and MDR offering is leading the way with healthy ARR growth, reinforcing our confidence in the sizable opportunity ahead. Industry analysts agree. Canalys recently reported that MDR is one of the fastest-growing security service areas, projected to grow 16% in 2025, yet over half of the surveyed MSPs don't yet offer MDR. We see this as significant greenfield potential. We made meaningful strides this quarter as we move quickly to capture demand. We expanded Adlumin's integrations with leading ITSM vendors to better support business workflows and enhance our threat detection capabilities to improve response speed and precision. These updates help customers operate more efficiently while empowering their security teams to counter threats with greater speed and confidence. We believe that our modern approach sets us apart. At the core is our cloud-native AI-powered SOC, purpose-built to scale. With advanced machine learning delivering strong automation rates, we enable faster, more accurate detection and response. Technology does our heavy lifting, freeing up people for the most strategic work. As a result, threat hunting activity has increased over 100-fold, demonstrating the strength of our approach. It's a stark contrast to solutions that rely on manual effort and can't match the speed, automation or accuracy we deliver. Our endpoint protection response solutions also delivered steady performance and is a natural complement to our XDR/MDR capabilities. This combination is especially important for customers seeking to unify EDR, XDR and MDR under a single vendor, a common customer preference. We also made progress in unified endpoint management, highlighted by further development of the new vulnerability management capability we launched in April. Identifying and remediating vulnerabilities is a vexing problem plaguing IT and security teams. The 2025 Verizon data breach report showcases the scale of the issue. Vulnerability exploitation is now the second most common breach vector, responsible for 20% of breaches, a 34% increase from last year. Verizon further found that only 54% of edge devices were fully remediated with a median time to remediate of 32 days, showcasing the practical difficulty fixing vulnerabilities presents even once discovered. The bottom line is vulnerabilities create risk and consume time and security teams are struggling to find an answer. This is where N-able comes in. By placing vulnerability management into our unified endpoint management solution, we enable a single workflow from detection to remediation, seamlessly bridging the gap between vulnerability insight and patch execution, an elegant solution to a painful problem. Our solution is already deployed across millions of devices and resonating with force in the market. While vulnerability management is a meaningful addition, it's just one part of our broader feature-rich UEM offerings. Businesses are under pressure to do more with less, and our UEM solution is built for this AI-driven era, automating routine tasks and improving efficiency. A standout customer win demonstrates this well. Our prospect launching an endpoint management business line chose N-able for our deep UEM capabilities and robust integration ecosystem. Leveraging our integration with ServiceNow, they built an AI-powered chatbot that deflects a significant amount of Level 1 technician tickets. This drives real operational savings. This deal reflects the strength of our UEM solution and the value of our open ecosystem. Let's now switch gears and discuss our go-to-market motion. Expanding into the broader channel is a key growth initiative for N-able and critical to delivering cyber resilience at scale. We aim to ensure N-able is a top-of-mind vendor, not just for MSPs, but also for resellers, system integrators, distributors and the full ecosystem of channel providers, small- and mid-market companies rely on to guide their cybersecurity journeys. With MSPs controlling only 1/4 of the $2.1 trillion small- to mid-market companies spend on IT, we believe our channel strategy unlocks new markets for N-able and holds a lot of promise. In the second quarter, we built momentum behind this initiative, adding more resellers, strengthening relationships and enhancing system capabilities. As part of our new channel initiative, earlier this year, we engaged with one of the largest and most respected resellers in the U.K., a publicly traded firm that works with a broad portfolio of leading technology vendors. Following the sizable deal to kickstart a relationship, they expressed appreciation for our partner-first approach and how our cyber resilience platform uniquely addresses mid-market customer technology needs. Their feedback reflects the differentiated value we bring to the channel and reinforces our conviction that the mid-market can become a meaningful customer segment for N-able. We're excited to deepen this relationship and replicate the success with resellers globally. We expect the foundational work we did this quarter to set the stage for long-term growth. And with our reseller pipeline having nearly doubled quarter-over-quarter, we are confident in our ability to deliver on this company growth pillar. We paired this foundational work with high-impact presence at RSA and InfoSec Europe, bringing our cyber resilience message to over 56,000 attendees. We also published the 2025 State of the SOC report, highlighting our unique insights from the front lines of cyber defense. These events and thought leadership pieces reinforce our commitment to protecting businesses everywhere and showcase the strength of our platform to a global audience. That commitment is also reflected in our leadership. We recently appointed Vikram Ramesh as our Chief Marketing Officer. With more than 25 years of cybersecurity experience, including leadership roles at Mandiant, Google and Adlumin, Vikram brings a proven track record of building high-impact cybersecurity brands and scaling channel market motions. He is exceptionally well positioned to advance our mission, execute our strategy and amplify our message globally. So bringing it all together, we made considerable progress this quarter as we work to accelerate growth and advance toward our 2028 ARR target of $750 million. Our growth strategy rests on 3 key pillars: first, driving security success; second, scaling our go-to-market; and third, boosting customer expansion. We are making solid headway across all 3. Our cyber resilience platform is resonating. Our channel motion is gaining traction, and our footprint within customer environments continues to grow. And with that, I will turn it over to our CFO, Tim O'Brien, and then I will circle back for closing remarks. Tim?
Timothy James O’Brien: Thank you, John, and thank you all for joining us today. Q2 was another strong quarter for N-able as we surpassed $500 million of ARR and delivered top and bottom line results above guidance. We executed well against our operational priorities, integrating Adlumin into our cyber resilience platform, establishing our new development center in India and continuing to build momentum behind our expanded channel motion to unlock the mid- market. As part of our capital allocation strategy, we began executing on our share repurchase program, reflecting our confidence in the business and the opportunity ahead. As we advance our mission to deliver cyber resiliency at scale, we remain focused on growth- oriented investments and disciplined execution. Let's now discuss our results for the second quarter and our outlook for the third quarter and full year. For our second quarter results, total ARR was $513.7 million, growing at 14% year-over-year on a reported basis and 12% on a constant currency basis. Total revenue was $131.2 million, $4.7 million above the high end of our guidance, representing approximately 10% year-over-year growth on a reported basis and 8% on a constant currency basis. Subscription revenue was $129.9 million, representing approximately 11% year-over-year growth on a reported basis and 9% on a constant currency basis. We ended the quarter with 2,540 customers that contributed $50,000 or more of ARR, which is up approximately 16% year-over-year. Customers with over $50,000 of ARR now represent approximately 60% of our total ARR, up from approximately 56% a year ago. Dollar-based net revenue retention, which is calculated on a trailing 12-month basis, was approximately 102% on a reported basis and 101% on a constant currency basis. Turning to profit and margins. Note that unless otherwise stated, all references to profit measures and expenses are calculated on a non-GAAP basis and exclude the items outlined in the GAAP to non-GAAP reconciliations provided in today's press release. Second quarter gross margin was 81.8% compared to 84.7% in the same period in 2024. Second quarter adjusted EBITDA was $41.6 million, $6.6 million above the high end of our guidance, representing approximately 31.7% adjusted EBITDA margin. Unlevered free cash flow was $33.3 million in the second quarter. CapEx, inclusive of $3 million of capitalized software development costs, was $6.8 million or 5.2% of revenue. Non-GAAP earnings per share was $0.11 in the quarter based on 189.3 million weighted average diluted shares. We ended the quarter with approximately $94 million of cash and an outstanding loan principal balance of approximately $337 million, representing net leverage of approximately 1.6x. Approximately 45% of our revenue was outside of North America in the quarter. To briefly dissect the quarter, roughly half of our revenue outperformance versus guidance was attributable to the positive impact of higher-than-forecasted foreign exchange rates. The remaining revenue outperformance was largely attributable to strong operations with Cove delivering record bookings and our newly acquired Adlumin security operations solution seeing meaningful adoption across our MSP customer base. Our beat against adjusted EBITDA guidance primarily reflects the flow-through of the revenue beat. Turning to our financial outlook. Our guidance accounts for the following elements. First, we are assuming FX rates of $1.10 for the euro and $1.31 for the pound for the remainder of 2025, along with updates to other currencies. Second, we continue to see a disciplined but healthy spending environment and traction with our top company growth pillars. With that in mind, for the third quarter of 2025, we expect total revenue in the range of $127 million to $128 million, representing approximately 9% to 10% year- over-year growth on a reported and constant currency basis. We expect third quarter adjusted EBITDA in the range of $36 million to $37 million, representing an adjusted EBITDA margin of approximately 28% to 29%. For the full year 2025, we are raising our total revenue outlook to $500 million to $503 million, representing approximately 7% to 8% year-over-year growth on a reported and constant currency basis. We are raising our full year ARR outlook to $525 million to $530 million, representing 9% to 10% year-over-year growth or 7% to 9% on a constant currency basis. As a reminder, our full year ARR outlook is on a like-for-like basis as Adlumin was included in our year-end 2024 ARR. We are raising our adjusted EBITDA outlook and expect full year adjusted EBITDA of $141 million to $144 million, representing 28% to 29% adjusted EBITDA margin. We reiterate that we expect CapEx, which includes capitalized software development costs, will be approximately 6% of total revenue for 2025. We also expect our adjusted EBITDA to unlevered free cash flow conversion percentage to be approximately 68% for the full year. We expect total weighted average diluted shares outstanding of approximately 188 million to 189 million for the third quarter and the full year. Finally, we expect our non-GAAP tax rate to be approximately 19% to 20% for the third quarter and 20% to 21% for the full year. Now I'll turn it over to John for closing remarks.
John Pagliuca: Thank you, Tim. Amidst the threat landscape growing more complex by the day, we are delivering the security outcomes that small- and mid-market businesses depend on. Our cyber resilience platform is built to win, and our model is proving it, balancing durable growth with strong profitability. We remain confident in our ability to execute and create long-term value. And with that, operator, we will open it up for questions.
Operator: [Operator Instructions] The first question is from Mike Cikos from Needham.
Matthew Ryan Calitri: This is Matt Calitri on for Mike Cikos over at Needham. Can you provide some more color on the go-to-market traction you're seeing with resellers? And what has been top of mind for Vikram in his first couple of weeks in the CMO seat?
John Pagliuca: Yes. Great questions, and good morning to everyone. So look, our go-to-market teams are finding a nice rhythm. It's -- with the XDR platform now, the bigger -- one of the bigger business model transformations is now we have 3 pillars to go to market with. And so I think that's accelerating the strike zone. And it's accelerating the strike zone or widening the strike zone, both in our markets that we're direct, but also in the resellers. And so now we have an opportunity when we're talking to a mid-market company, a CIO and a mid- market company or an owner of an MSP business there's 3 pillars that we can talk to them about. And that's actually showing a nice bit, both on the NCA motion, our new customer acquisition motion, but also on the cross-sell. So we're seeing nice bookings. We saw it last quarter. We continue to see it so far in Q3. And then so we gave you an anecdote on one of the resellers, and I'll share with you another. We're now having conversations and we're now having joint sessions in markets like Germany where we're having dozens of CIOs in Germany attend and listen to our Cove data protection story, our XDR story, and we're leaving those meetings with real opportunities from the personas that are going to make the decisions. And so it's a brand-new lever or a brand-new avenue for revenue for us. So we're pretty excited about it. I think we referenced a quarter-over-quarter doubling of the pipeline. Reminder, we're on average, a $20,000 ASP business. So it's good. We're building it with 6 figures, we're building it into it, but -- and a little bit over time as we extend both from a market point of view, i.e., more countries, more markets and then just from a reseller point of view, adding more active resellers we believe it will have a nice virality kind of coefficient here and really start to drive a significant part of the business. It will take a couple of quarters, but we're seeing it already, and we're pretty excited about that, especially now where we have the 3 areas that we can talk to resellers and MSPs about. On the Vikram front, Vikram is at Black Hat today, which is a good indicator as to where his focus is. He's a cybersecurity expert. And he's really excited because he's able to tell a complete cyber resilience story. And so educating the mid-market about who N- able is, we're well known in the MSP market. We're considered a leader in the MSP market, lesser known in the mid-market. And he's out at Black Hat right now, really promoting that story. We see others in the data protection space partnering with cybersecurity companies. Here at N-able, it's all of our tech, right? So XDR and data protection, we have the complete cyber resilience platform story for the mid-market, and it's all under one house. That gives us an advantage that makes them more efficient, that makes them more secure, and he's out there really promoting that story and making sure that the mid-market understands where we play, why we have 3 best-in- class pillars to go into the mid-market. So he's really focusing on building that cyber resilience brand, and he's out there right now at Black Hat doing so.
Matthew Ryan Calitri: That's all great to hear. And can you remind us where we're at with the optimization and the ASC 606 headwinds associated with moving to annual contracts? Are we getting close to seeing a baseline growth emerge here? And as customers are coming up for renewals, are they happy to sign another upfront commitment?
John Pagliuca: Yes. I would say if you look at our kind of full year ARR outlook, I would say that, that quals any of the 606 or optimization noise that we went through in 2024. So I think that's probably the best marker to look at kind of, I'll call it, the best velocity metric for the business would be kind of exit 2025 ARR. That quals any 606 optimization or any inorganic impact noise from the Adlumin acquisition as well. And then sorry, remind me the second part of the question?
Matthew Ryan Calitri: Renewals.
John Pagliuca: Renewals, yes. So yes, customers are renewing at a very healthy clip, I would say, coming through kind of the first slug of renewals in the first half of the year here in 2025 with the commitments that we put in place last year in 2024. So very willing to recommit and renewing at a clip around 90% or so.
Operator: The next question is from Matthew Hedberg at RBC Capital Markets.
Michael Steven Richards: This is Mike Richards on for Matt. Strong results across the board and ARR accelerated on a constant currency basis. Maybe I was just looking for more detail on the ARR guidance. Was there anything pulled in this quarter that made results look strong? Or are we just kind of looking at a conservative back half? Like is there anything you guys are seeing in the back half that would kind of leave the constant currency guide untouched? And then I have a follow-up.
John Pagliuca: Yes, I can help unpack it. I would say there's definitely some FX dynamics at play with Q2 and the full year. If you neutralize any of the FX impact for -- between the full year outlook and Q2, the second half is -- from a growth standpoint on ARR is slightly above where it was in the first half of the year. So I know it looks a little bit wonky just due to some of the FX dynamics. But if you neutralize some of that FX impact, second half implies more growth in the first half of the year in our constant currency outlook.
Michael Steven Richards: Got you. And then at Investor Day, we talked about new pricing and packaging bundles coming in the second half. I was just wondering if you guys could give an update there and how you guys are looking at that, driving more cross-sell across the 3 pillars?
John Pagliuca: Sure. Yes. The market, our customer base continues to tell us that as they look through, they have tech stack fatigue, right? And especially some of the smaller shops navigating a vendor sprawl where they might have 16 or 17 different vendors is suboptimal. And so where we can bundle that up with, one, a best-in- kind of class type of solution and then help them with their vendor sprawl. And inevitably, when you parse it apart, it's better economics for them as well. So the bundling continues to resonate. I'd categorize it still an experimental phase, right, where we're experimenting. We're getting good traction, and we continue to lean in a little bit more as we go through the back half of this year and continue into 2026. So all positive from that front.
Operator: So the next question is from Joe Vandrick at Scotiabank.
William Joseph Vandrick: John, I think you mentioned half of the MSPs aren't offering MDR. Is that true for your customer base? And how are you educating your MSP customers on the opportunity?
John Pagliuca: Directionally, we're finding it true for our customer base as well, yes. So -- but you bring up a good point. Part of our heritage here is that we do a good job of evangelizing and educating both the mid-market and the managed service providers as to what they need for their customers to make sure that they're protecting their businesses every day. But the key part of that is doing it efficiently. And so what we're preaching is to augment, right? A lot of it -- some of the MSPs, maybe some of the bigger shops, they've tried to potentially build a SOC themselves. And most have found it to be an upside down business proposition. And so by leveraging our XDR technology, we're doing a lot of the -- our technology is doing a lot of the heavy lifting for these MSPs. We're providing that line of monitoring and defense and then they can focus on some more of the strategic initiatives. So the guidance to MSPs out there is, hey, augment, leverage a technology provider that can handle the threats and the detection for you and go back to what you're good at and advising your customers. And so then there's a whole spectrum, right? In the XDR/MDR space, there's a bunch of players that have been around for quite a bit that are not necessarily built in the modern -- with modern cloud architecture, leveraging AI. We're very proud of the level of automation and artificial intelligence that we have in our SOC and the way that we're detecting, but also responding and giving customers the guidance that they need. What used to take hours to get back to a customer is now taking minutes. And as we know, when we're dealing with threat actors, time is essential, right? And so we're finding that the MSPs are really resonating with the offering, one because of the AI that's infused, but also because we give them the ability to have eyes on glass. And our solution, which is different than other folks, other folks, they look at MDR/XDR is like a black box service. They can't see what's going on inside. Ours is software and software first. So the MSPs can look at the same things that our security experts are looking at, giving them the comfort and confidence that they need. And so the story is resonating. The tech is differentiated, and we continue to evangelize, and we're seeing more and more opportunity. It's by far one of our faster-growing SKUs from a pipeline and bookings perspective.
William Joseph Vandrick: That's really helpful. And maybe one for Tim. Really impressive strength in the 50,000 customer adds number what do you attribute that strength to? Is it Adlumin or maybe you called out Cove at the beginning of the call. Are you landing larger there? I'm just curious what do you attribute that strength to?
Timothy James O’Brien: I would probably attribute it to a few different things. We've made a focus in the MSP market to focus on larger MSPs from bringing new customers in. And I would say we're starting to see some of the return on those investments that we made over the last 12 to 18 months or so. Also, the ability for us to cross-sell the portfolio into the base as we execute on that, whether it be through bringing Adlumin into our MSP customer base, continuing to cross-sell Cove into our customer base, landing new Cove customers, again, in that upmarket focus in the MSP segment are all key drivers to that. And then same thing on the Adlumin mid-market front. They -- I would say they land deals above and below that kind of 50,000 threshold. I would say it's just a normal course from an Adlumin perspective. So I would attribute it more to probably success in the MSP market for the Q2 results, but I expect mid-market to have impact in this category as well as we build out the channel and continue to bring the full portfolio into the mid-market as we progress through the second half of 2025 and into 2026.
Operator: Our next question is from Jason Ader from William Blair.
Jason Noah Ader: I just wanted to ask just about the overall health of the SMB IT market. What trends are you seeing to kind of give you a sense of just that macro element? Do you feel like things are stable? Are they getting any better or worse? That would be my first question.
John Pagliuca: Sure. Jason, it's John. So look, I think the trends that we've been referring to the last couple of quarters continue to be those same solid trends in that data protection and security are top of mind. It's a big part of the MSPs growth algorithm, and it's very much top of mind for CIOs and CISOs of mid-market businesses. And so -- and then you couple that with a boost in productivity that mid-market companies and MSPs are getting and leveraging another wave of technology in AI and IT spend appears to be, I'd say, pretty healthy in our base and what we're seeing based on our pipeline, talking to CIOs and talking to MSPs. MSPs are continuing to grow. They're continuing to add more services. The need for not just IT operations automation, but also security and security operations continues to be strong. So from our lens, it seems -- the demand seems to be as healthy as before. And frankly, as I mentioned before, our go-to- market teams are building a healthier pipeline than they have been in the past couple of quarters. So we're optimistic about the demand there.
Jason Noah Ader: Any commentary on the device side, the RMM side?
John Pagliuca: Yes. I'd say it's been consistent, like so -- the physical devices -- so by the way, we manage and secure and recover a bunch of things, right? So on the device side, I'd say it's consistent. It's relatively what it's been in the last couple of quarters, I'd say, more flattish. But we are seeing a nice uptick in a lot of the other digital assets, M365 users, users in general, virtual machines, right? These are all assets that we manage that there's data on that we're making sure that people are protected and recovering. So in the VM world and in M365 and SaaS world, more growth there. And in the physical devices, that's more of a flattish type of trend.
Jason Noah Ader: Okay. Great. And then, Tim, for you, could you give us any comments on the Adlumin contribution? Or if you don't want to give us a specific number, can you just talk about organic year-over-year growth, like kind of whether that trended up or it's stable?
Timothy James O’Brien: Yes. I would say the color is consistent with what we've given historically. We expect Adlumin to have about 1 point of impact on exit 2025 ARR growth and then kind of mid-period here, we disclosed the size of the Adlumin business upon acquisition in the low $20 million of ARR. So that equates to about 4% or so of impact on overall growth. So I think that should help you kind of guide you on inorganic impact from Adlumin in quarter 2 here and quarter 3 and then year-end quarter 4 from an ARR perspective. Just due to the velocity of the Adlumin business upon acquisition, it's adding about 1 point of growth to the overall equation for the year.
Operator: [Operator Instructions] We have no further questions on the call at this time. So I'll hand back to management for any closing remarks.
John Pagliuca: Thank you all for joining us today and your continued interest in N-able. Enjoy the balance of your summer.
Operator: This concludes today's conference call. Thank you all very much for joining, and you may now disconnect.